Naoki Muto: I am the CAFO, Muto. I will give an overview of our earnings results for the first quarter of the fiscal year ending March 31, 2024. Here are the highlights of this earnings report. Q1 sales revenue was our highest ever for a quarter. Strong global demand continued as sales grew 5% when excluding FX. Operating profit was minus 1% when excluding FX. However, during the quarter, the positive impact of our profitability improvement measures exceeded the negative impact of inflation for the first time and progress is as planned toward achieving our annual guidance. Further, profit for the year grew year-on-year, resulting in both increased sales and profit. In addition, it was decided at today's Board of Directors meeting that we will acquire up to JPY 20 billion in treasury stock during this fiscal year. Next slide, please. Here are the P&L results. Sales revenue was driven by the TIS and Vascular graft businesses of the Cardiac and Vascular Company and by the Blood center business of the blood and Cell Technologies company, all of which grew in the double digits. Operating profit dropped slightly, but positive impacts from the price policy revision and cost reduction measures are happening as expected, we will reap even greater results from these profitability improvements in the second half. At the same time, we are strengthening SG&A investment in the expansion of therapeutic devices in growth markets like the United States. In profit for the year, finance costs such as FX loss decreased to help us secure increased profit. Next slide, please. The graph shows the operating profitability quarterly trend of the group and adjusted operating profitability by company. The previous Q4 saw a high amount of onetime expenses, including inventory adjustment and increased fixed expenses, causing margin decreases for Medical Care Solutions and Blood and Cell Technologies. However, in Q1 this year, both companies have seen their margins recover. The Medical Care Solutions margin reached a higher level than in Q4 but remains low against the annual guidance. This is due to the Q-on-Q decrease in sales and the fact that impact of profitability improvement measures is anticipated to make its biggest contribution in the second half. Blood and Cell Technologies saw double digit growth Q-on-Q sales and improved its profitability. Next slide, please. Next is the profit variance analysis comparing against the same period of the previous year. All items are progressing as planned toward our annual guidance. Gross margin was negative year-on-year as negative impact from inflation that worsen from the second half of the previous year exceeded the positive impact of cost reductions and business mix improvement. In price, the positive impact of the reimbursement price revision was combined with the effects of the price policies that were revised globally starting last fiscal year. Increased expenses were due to the investment and growth markets by cardiac and vascular company that I mentioned earlier. In FX, the impacts of flow and stock cancelled one another out. The FX breakdown is JPY 1.4 billion positive in flow and JPY 1.5 billion negative in stock. Next slide please. Regarding the annual guidance, this outlines the two profitability improvement measures that I mentioned earlier. First, the increased profit included in the annual guidance price includes JPY 12 billion and gross margin includes an anticipated JPY 3.6 billion from the group wide profitability improvement project VC2. Next slide please. I will now explain regarding the progress of profitability improvement measures. The price policies and VC2 are both anticipated to make larger profit increasing contributions in the second half. In price in Q1, . in addition to the reimbursement price revision, the global price policy revisions we began last fiscal year had positive impact. In the second half, this will expand to more products and regions to bring about larger positive impact. Next, regarding VC2, the centerpiece of our global production optimization, the Costa Rica transfer began to have effect in Q1. In addition to that, we anticipate that positive impact will begin in the second half from the automation and efficiency improvement project underway at Japan factories centered on Ashitaka. Next slide, please. Here's sales revenue by region. Markets outside Japan starting with the United States drove growth. Cardiac and vascular has seen continued strong global demand, especially in the TIS, Neuro and TA businesses. Neuro in China and pharmaceutical solutions in Japan each saw temporary decreases in sales. But both businesses continue to drive growth and there is no impact on the annual guidance. At the same time, Blood and Cell technologies saw a large increase in sales due to tenders won in Asia. Next slide please. I will now explain the results by company. First, cardiac and vascular, sales grew 7% when excluding FX. In businesses, TIS and vascular graft and in regions, the EU and US were each strong leading steady results globally. In China, distributors delayed orders due to the view that normal Neuro would become subject to group purchasing. In profit, increased sales price policy and the effect of the Costa Rica production transfer more than made up for inflation impact. On the other hand, the cardiac and vascular company was the one whose margin was most impacted by the effects to stock. In addition, investment was strengthened toward expanding sales of therapeutic devices in North America. Next slide, please. TMCS is the Terumo Medical Care solutions company. In sales, the year-on- year comparison effect of the hospital care solution sale of the nutrition business, the return to normal of device demand in the life care solutions business and the delivery fluctuations of pharmaceutical solutions products resulted in a sales decrease. In addition to the sales decrease, there was also impact from inflation in Japan electricity price increases, which worsened beginning in the second half last fiscal year. Although, there was some positive effect from price policies, profit decreased overall. We anticipate that our profitability improvement measures will take full effect in the second half. Next slide, please. Next is TBCT, Blood and Cell technologies company. Sales revenue had a strong start, especially with the blood center business in Asia and North America. At the same time, there was a temporary increase in sales due to successful tenders that is not expected to continue in Q2 and beyond. Profits increased greatly due to factors including increased sales and inventory reevaluation at the beginning of the period. However, we are beginning to see the effects of price policies and the Costa Rica production transfer and expects these to continue in Q2 and beyond. Next slide, please. This is the last slide. As a new shareholder return policies begun last fiscal year, we announced the continuation of stable dividend increases and our goal of a 50% total return ratio during GS26. Based on those policies, it was decided today by the Board of Directors that we will acquire up to JPY 20 billion in treasury stock this year as well. This concludes my explanation of earnings. Thank you.
Operator: [Operator Instructions]
 :
 :